Robert Phillips - SVP, IR and Corporate Affairs:
Jay Jackson - Chairman and CEO:
Bill McCauley - CFO:
Patrick Davitt - Autonomous Research:
Crispin Love - Piper Sandler:
Randy Binner - B. Riley Securities:
Mike Grondahl - Northland Securities:
Andrew Kligerman - TD Securities:
Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to Abacus Global Management's Fourth Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. [Operator Instructions] Please note this event is being recorded. I'd now like to turn the call over to Robert Phillips, Abacus Global Management's Senior Vice President on Investor Relations and Corporate Affairs. Please go ahead.
Robert Phillips: Thank you, operator, and thank you everyone for joining Abacus Global Management's fourth quarter and full year 2024 earnings call. Here with me today are Jay Jackson, Chairman and Chief Executive Officer, and Bill McCauley, Chief Financial Officer. This afternoon at 4.15 p.m. Eastern time, Abacus Global Management released its fourth quarter 2024 results. This afternoon's call will allow participants to ask questions about our results. Before we begin, Abacus Global Management refers participants on this call to the investor webpage, ir.abacusgm.com, for the press release, the investor information, and filings with the SEC for a discussion of the risks that can affect the business. Abacus Global Management specifically refers participants to the presentation furnished today on Form 8-K with the Securities and Exchange Commission, and to remind listeners that some of the comments today may contain forward-looking statements, and as such, will be subject to risks and uncertainties, which, if they materialize, could materially affect results. For more information on the risks, uncertainties, and assumptions relating to forward-looking statements, please refer to Abacus Global Management's public filings. During the call, we will reference certain non-GAAP financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under U.S. Generally Accepted Accounting Principles, or GAAP. Please see our public filings for additional information regarding our non-GAAP financial measures, including references to comparable GAAP measures. With that, I'd now like to turn the call over to Jay Jackson, Chief Executive Officer.
Jay Jackson: Thanks, Rob, and thank you to everyone joining us today for your interest in Abacus Global Management, and welcome to our fourth quarter 2024 earnings call. After Bill and I conclude our prepared remarks, we'll open it up to your questions. We closed 2024 with another outstanding quarter of profitable growth and achieving significant milestones, capping off a record year for Abacus. In addition to our strong financial results, we effectively executed on a number of strategic initiatives that have meaningfully expanded our business. In 2024 alone, we strengthened our executive team through key hires, successfully raised substantial additional capital to fuel our growth initiatives, achieved capital self-sufficiency on our balance sheet, completed two strategic acquisitions that have significantly expanded our capabilities and market reach, and dramatically grew both the scope and scale of our operations across multiple business lines. First, in term of our results, for the fourth quarter of 2024 we grew total revenue by 40% year over year to $33.2 million and recorded strong adjusted earnings, growing adjusted net income by 126% to $13.4 million and adjusted EBITDA by 51% year over year to $16.6 million. Q4 was one of the many highlights in what proved to be an exceptional fiscal year 2024 for Abacus. For the full year, we increased total revenue by 69% to $111.9 million, grew adjusted net income by 58% year over year to $46.5 million and adjusted EBITDA 57% to $61.6 million. Additionally, we increased our policy originations by 63% to 1,034 in 2024 and deployed over $344 million in capital. Much of our growth was driven by our continued marketing efforts, successful capital deployment, increased assets under management and our expanding institutional relationships. And we're well positioned for a strong 2025. We've initiated our full year 2025 outlook for adjusted net income to be between $70 million and $78 million, which implies another strong year of growth between 51% to 68%. Bill will be along shortly to discuss our fourth quarter and full year financial performance in further detail. The fourth quarter saw us make considerable progress in expanding our business operations meaningfully through thoughtful strategic investments, both organic and inorganic. During the quarter, we successfully completed the acquisitions of Carlisle Management Company, SCA and FCF Advisors, asset managers, which together added approximately $2.6 billion in assets under management to our portfolio. These strategic acquisitions seamlessly integrate with our long-term vision of providing clients with holistic and tailored financial solutions. Carlisle significantly expands our international footprint and enhances our offerings to institutional investors seeking attractive risk-adjusted returns with low correlation to other asset classes. Their track record as a fund manager within the life settlement industry is unmatched. Their investment portfolio is truly differentiated and we could not be more thrilled to welcome Jose Garcia and the expert Carlisle team to the Abacus family. Meanwhile, FCF Advisors brings to Abacus innovative and specialized free cash flow-focused ETF investment strategies. Their pioneering free cash flow quality model seeks free cash flow leaders in their industry while maintaining a high return on invested capital. This combination of free cash flow and ROIC allows our investors to capture the leading, most profitable companies in each category with one symbol. We rebranded the company to Abacus FCF Advisors and in concert with the rebrand, we launched the new Abacus FCF Small Cap Leaders ETF, which carries the ticker ABLS. We also announced management fee reductions of 5 to 10 basis points across all of our ETFs and an 18-month fee waiver of 20 basis points on four of the ETFs. We have already integrated Carlisle and FCF into our organization. It was the ideal time to rebrand our company to Abacus Global Management, which better reflects our evolution and global market presence. Our evolution to Abacus Global Management represents a significant milestone in our company's journey to revolutionize financial services through expert asset management and by leveraging advanced technology to deliver personalized, lifespan-based financial solutions. As a result of these investments, we are thrilled to provide our expanded offerings and solutions to our clients through our four distinct yet complimentary business segments, which we will elaborate on further in the weeks and months ahead. Abacus Life Solutions provides premium liquidity solutions for life insurance assets, helping thousands of clients maximize the value of their life insurance assets. Abacus Asset Group serves institutional investors and select private clients with specialized, uncorrelated, and longevity-based assets and investment strategies. ABL Wealth redefines wealth management through our proprietary data and algorithms that create truly customized financial plans based on health, longevity, and overall financial wellbeing. And ABL Tech leverages our decades of experience and proprietary data to revolutionize the life planning industry through innovative technology solutions serving pensions, insurance companies, and asset managers. We also took a number of key steps during 2024 in terms of enhancing our balance sheet. And as a result, our liquidity position has never been stronger. In addition to our strong, free cash-generating business, we successfully raised $181.7 million in additional equity in two oversubscribed offerings, including the Green Shoe, in order to fuel our growth initiatives. Then, in December, we further enhanced our capital structure by securing a new private $150 million debt-financing facility with Sagard and Varde Partners, two premier financial institutions which ensures that we will continue growing our capabilities in 2025 and beyond without the need for additional equity raises. In 2024, we also added an additional $73 million of assets under management in our private placement LMA Income Fund II, with more updates to come in our Q1 2025 call. Additionally, in an effort to further simplify our capital structure, subsequent to year-end, we entered into private warrant exchange agreements in which we exchanged just under 5 million public warrants for an aggregate of over 1.1 million shares of newly issued common stock, representing a ratio of 0.23 shares per warrant. Looking ahead, we're off to a great start in 2025, as we expect to once again grow our full-year adjusted net income by over 50%. And we're committed to maintaining our momentum to firmly solidify Abacus as a leader in the alternative asset manager space. Our expanding business verticals, proprietary technology, and wealth of data provides us with clear competitive advantages to capture the vast opportunities before us. With that, I'll now hand it over to our CFO, Bill McCauley, to discuss the specifics of our fourth quarter and full-year results.
Bill McCauley: Thanks, Jay. And hello, everyone. As Jay mentioned, we close out 2024 with another solid quarter of top-line growth and profitability. The key driver of our business performance continues to be our highly efficient origination platform, while we continue to grow our expanded verticals that will contribute meaningfully to our future earnings. In fourth quarter 2024, capital deployed increased 41% to $96.6 million compared to $68.3 million in the prior year, while we grew policies originated to 214. With the continued policy origination and capital deployment as of December 31st, 2024, Abacus holds 719 policies with a value of $371.4 million on the balance sheet. Total revenue in the fourth quarter 2024 grew by 40% to $33.2 million compared to $23.6 million in the prior year. The increase was primarily due to higher active management revenue. For the full year 2024, revenue increased 69% to $111.9 million compared to $66.4 million in the prior year. Revenue increases were primarily driven by higher active management revenue due to increased capital deployed and more policies sold directly to third parties. Turning to expenses, total operating expenses, excluding unrealized and realized gains and losses and the change in fair value of debt for the fourth quarter 2024 were approximately $45.5 million compared to $18.9 million in the prior year. The increase from the prior year period was primarily due to non-cash stock-based compensation, higher investments in SG&A. Notably, we increased our total employee headcount to support our growth initiatives through policy acquisition and active management along with increased marketing to support our growth profile. The company typically realizes the benefit of marketing spend within 90 to 120 days. On an adjusted basis, excluding non-cash stock compensation, business acquisition costs, amortization and change in fair value of warrant liability, net income for the fourth quarter of 2024 grew 126% to $13.4 million compared to $5.9 million in the prior year. For the full year 2024, adjusted net income grew 58% to $46.5 million compared to $29.4 million in the prior year. Adjusted EBITDA for the quarter grew 51% to $16.6 million compared to $11.1 million in the prior year. Adjusted EBITDA margin was 50% for the quarter compared to 47% in the prior year. And for the full year 2024, adjusted EBITDA increased 57% to $61.6 million compared to $39.3 million for the prior year. Adjusted EBITDA margin for 2024 was 55% compared to 59% for the prior year. GAAP net loss attributable to stockholders for the quarter was $18.3 million compared to a net loss of $6.2 million in the prior year, primarily driven by $24.8 million of non-cash stock-based compensation as well as non-recurring expenses related to our acquisitions. Now turning to our balance sheet metrics, for the full year 2024, adjusted return on equity was 17% and adjusted return on invested capital was 15%, both reflecting our highly profitable business model. As of December 31st, 2024, the company had cash and cash equivalents of $128.8 million, balance sheet policy assets of $371.5 million and outstanding long-term debt of $342.4 million. As Jay mentioned in his remarks, in an effort to provide more insight into our business, we're initiating our full year 2025 outlook for adjusted net income to be between $70 and $78 million. The range implies growth of between 51% and 68% compared to full year 2024 adjusted net income of $46.5 million. In summary, we are pleased with our extremely strong performance in 2024 as we delivered strong double-digit growth on our top line as well as significantly growing profitability on an adjusted basis. We remain very excited about the growth opportunities ahead and are well positioned to execute on our long-term plans. I will now turn it back to our CEO, Jay Jackson, for our closing comments.
Jay Jackson: Thanks, Bill. In conclusion, I'm proud of all the accomplishments and milestones we achieved in 2024. In particular, the significant expansion of our capabilities. We remain very excited about the vast market opportunity in front of us and we're committed to building on our two-decade track record of financial success to deliver long-term profitable growth. Again, thank you all for joining us today and we appreciate your interest in Abacus Global Management. With that said, we look forward to your questions.
Operator: [Operator Instructions] And our first question comes from the line of Patrick Davitt with Autonomous Research. Please proceed.
Patrick Davitt : Hi, good afternoon, everyone. Thanks for having me. Really appreciate the guidance range. Could you give us some color on the key swing factors in your assumptions between the high and low end? And within that, does the high end assume a full draw in deployment of the $50 million remaining on the revolver or would that be incremental? Thank you.
Jay Jackson: Hey, Patrick, thank you for the question. And the kind of key swing factors there is first and foremost answer the $50 million. No, it's not dependent on that $50 million additional draw. We're really well positioned in how we look at '25. Our origination is one key driver. We're also looking at as we have integrated some of our asset management and having that roll into some of the balance sheet is also impacting that. And we put the range there because we also, what we believe we see is also some significant upside to things that can continue to go well as we continue to integrate our businesses, raise more capital under our abacus asset group through both our Carlisle acquisition, our ETFs and other strategies that we have coming out in 2025. So it's interesting to see the additional $50 million, what impact that could have and where we could and that would be incremental.
Patrick Davitt: Great. And then higher level, I guess, I think you paused advertising around the election. So maybe update us on how the direct channel metrics have been tracking since you started that back churn?
Jay Jackson: Sure. In relationship to advertising and one thing I'll correct you on quickly is that we didn't pause total advertising. What we did was we moved advertising to non-swing states and where those dollars could go further in the non-swing states. So we were still advertising, we were just doing it in a little more targeted way. And we're continuing our advertising campaign. We continue to see the success of that campaign. And as we track out our cost of spend on the advertising, it's still positive, meaning that it's still very accretive in relationship to the amount of spend that we have in the relationship to the amount of policies and impact we ultimately have on those consumers. And what I like to talk about too is that we're having an impact in spreading the word related to our financial advisors and agents. We receive as many calls from them saying, hey, we saw the ad, we're also interested in, we have a client that's interested as well. So our targeted advertising is continuing to grow. We expect that to continue through 2025 because its impact has been positive.
Operator: And the next question comes from the line of Crispin Love with Piper Sandler, please proceed.
Crispin Love : Thank you, I appreciate you taking my questions. Coming off of the November equity capital raise and the debt offering in December, how much of that was deployed in the fourth quarter and the first quarter to date? And when would you expect to be fully deployed?
Jay Jackson: Sure, there's two responses to that. First, we had a very successful year end and we were able to deploy that capital. And I think if you look at what we reported in the press release and Kay coming out is that you'll see that the cash is still a very cash, a decent sized cash position at the end of 2024 is showing around $131 million of cash. So we did get a significant amount of that deployed even though it happened. So late, right? It was just, I think the first week of December and sort of right around then. So we felt really good about the deployment then. It had an impact to Q4, which we were happy about. But what I am most excited about is that, we're in a great position with capital coming into Q1. And so, as we're deploying that capital through Q1 at or better than results than we have in even prior quarters, that's why we felt comfortable putting out the guidance. And the guidance we put out was, the low range of the guidance was above consensus. And of course the top range was almost, I think around 12% higher over what the low end of that range was. So because of that in deploying that capital, we think we're in a great position. And I said it earlier where I highlighted as we're continuing to recycle the contracts on our book, remember, we're booking realized gains as a portion of all these revenues. And as that continues to occur, we feel very confident about the guidance that we put out and the capital that we have on the balance sheet we can recycle and put to work in buying more policies. And again, I think what we'll see in Q1 too is, we'll spend more time on the asset management group as well. And we've been able to launch and really extend additional offerings that we had. And so now we have additional offerings within GPLP products as well as the success of Carlisle in their raising capital efforts. So it puts us in a really strong position where I think the broader question is, is there an expectation for us to come back out to the equity markets for more equity or capital? And as I said earlier in the call, I don't think that's the case. So we're just in a really strong position for '25 with the cash that we had coming in and we were able to deploy some in December too.
Crispin Love: Great, Jay, I appreciate that. And then can you just discuss your strategy of holding policies on balance sheet? Are there any changes there holding for more months or anything like that? I see you had $370 million plus as of year-end versus around $270 million last quarter. So should that just naturally trend higher as you grow or is there anything worth calling out on the strategy?
Jay Jackson: Yes, I think that what we'll typically see is that as we got into the last really month of that quarter in Q4, we were buying more than we were selling and now we're transacting in Q1. So what I've long said about the way to think about the policies on the balance sheet is that we're targeting two turns per year on average. And so the average time on the balance sheet historically has been anywhere between four to six months. And I would expect that kind of to continue. And the point being though is that let's assume that we sell $100 million of that at some point in any given quarter, well, we're going to buy more policies, right? So as you start to think about what the balance sheet amount will be, you'll start to see that consistently hover whether it's 370 to 450 because even though we sell policies, we're replacing them with policies. So you'll constantly see that kind of hover around that number as we have capital to deploy. And with the ROIC and ROEs that we've historically earned, we think that's the best place for a majority of our capital.
Crispin Love: Great, thank you, Jay. And I appreciate you taking my question.
Jay Jackson: Sure, thanks, Crispin.
Operator: The next question comes from the lineup, Randy Binner with B. Riley Securities. Please proceed.
Randy Binner : Hey, thanks. I haven't seen the 10-K yet, but can you provide an update on the carrier buyback program both in the fourth quarter and how you see that moving forward throughout 2025?
Jay Jackson: Sure, and the carrier buyback program continues to expand for us. And it's beyond carriers and having conversations with reinsurers and others. But the program itself, these are very large entities and thinking about the carriers, thinking about structure and the best way to structure those transactions as they continue to grow in size. We had a successful '24 in that program and we anticipate a successful '25 by broadening out additional relationships as we're working through a large relationship now and we're just kind of finalizing how that structure of cash deployment happens from that carrier. So those transactions though tend to be a little lumpy in nature. And so when you think about those, you tend to see them in any one quarter or another that might be more versus less than in any single quarter, just depending on how much that carrier might be particularly purchasing during that time period. So we're still very positive on that segment of our business. We're consistently working on and developing new structures so that they could potentially either buy more or add more carriers and reinsurers to that program. So we're quite positive about it and I think it will continue to grow over time.
Randy Binner: That's great. Thank you for that. And we'll look to the 10-K for other details. The other one I had and it's really in response to questions we're getting from investors is are you seeing any change in behavior from individuals who are life settling their policies with you? I know that you shifted advertising a little bit but the question's more is the current economic environment changing the propensity of individuals to move forward or is there no effect? Is it totally uncorrelated? Because this is a question that comes up a lot.
Jay Jackson: Sure. And it's a fair question. I think that whenever you have volatility in the markets, we see this in twofold. One, there are individuals particularly driven from their financial advisors where they might be looking for other sources of capital to bring into their portfolio and they may just may not realize that their life insurance policy has liquidity in this way. And so I think in volatile markets, just on both sides is typically can be pretty positive for us where you have uncertainty and through that uncertainty that can increase origination interest as people are seeking additional liquidity sources in their own portfolio. And then a second piece of that is through the investor side, right? As investors are also seeking unique assets, maybe alternative assets that are typically less correlated than other markets, it's also a very interesting asset to invest in. And so what we have been, I think, been fortunate on and not only completing the acquisition with Carlisle, but also launching some other funds is some other, not launching, but rather continuing the offering on some of our other products where we're on our fourth and fifth offering on some of these. You know, those products have a very high level of interest, you know, GPLP type funds from traditional registered investment advisors who have clients who are looking for, you know, different types of yield than they might normally expect in these kinds of volatile markets. So the answer to your question is, is that we're really well positioned in this kind of market going forward, right? In a volatile market, yeah, we tend to see some interest in relationship to consumers or more importantly, their advisors seeking liquidity or additional capital for their accounts. And then the second piece of that is on an investor basis, we tend to see an uptick in investors seeking out the asset to invest in.
Randy Binner: Okay, great, thanks, appreciate it.
Operator: And the next question comes from the line of Mike Grondahl with Northland Securities. Please proceed.
Mike Grondahl : Hey guys, good evening. A question kind of year end AUM at Carlisle and FCF. And I don't know if you can update us for roughly AUM today and just what do you think that growth rate is over '25 with some of these new offerings?
Jay Jackson: Yes, fair question, Mike. You know, I can't put out non-public information that isn't out yet for Q1 for both of those entities, but what I can tell you is, is that the response has been incredibly positive to the acquisition that Abacus had of both of those entities. We'll start with the Carlisle group as they're working through a rebrand as well as part of the Abacus Global Management umbrella. And we have met with and done meetings, our staff at Abacus, as well as in partnership with the teams at Carlisle, traveled globally all over the world to Asia and Europe to speak to their investors. And I think the sentiment is incredibly positive. I think that when we were looking at their book of assets, we had very conservative estimates as to new capital raises. And I think that as we look at '25, I believe that we'll hit those. So we've already got significant interest. And honestly, Mike, this market's favorable for that, right? Just as I highlighted in the other question, Mike. So we're bullish on what the AUM could look like over time when it comes to whether it's Carlisle or our own funds and believe that this will have a positive impact. And again, that's why we put out an adjusted net income number that I think was quite bullish on our company. In relationship to FCF Advisors, that rebranding and integration took place right away. And we did announce that publicly to where it was rebranded as Abacus FCF Advisors and also changed the name of their funds to leaders, meaning that they were primarily focused on the top equity leaders in free cash flow and ROIC, along with a couple of other additions to each portfolio. And what we have seen in this type of market and a bottom-up approach like that, where you're simply looking for the top and 50 most profitable businesses in technology or real assets or small cap, we've had a huge interest in those ETFs, where people are looking for maybe more of a consolidated type ETF portfolio. As we continue to evolve that brand, this is going to, what I believe, evolve also into a brand of lifespan-based target date funds. And we're also working on that and incorporating those models into that product. So more to come on that. We've certainly had positive outcomes on both of those entities, and that we'll be reporting in Q1, speaking about increased assets under management in both. Carlisle, FCF, as well as Abacus's proprietary funds.
Mike Grondahl: Got it. And then just lastly, as part of the integration of FCF, have you been able to get your leads off the website over to FCF? Has that been completed yet?
Jay Jackson: Yes, so that's a broader strategy. To answer your question specifically, we have not integrated our lead process into the ETFs, but I would tell you that's a not yet. That's something that we are in the process of integrating. And you heard me talk briefly earlier about one of our business lines that we're proud of and that we believe is going to have a significant impact on the market called ABL Wealth, which is our financial advisor division. And as that division continues to build and grow, we believe that will create significant opportunity to help manage some of the inquiries that we receive from broadly consumers with a variety of different financial needs that maybe don't qualify to sell their policy that we could certainly utilize in those ETF products, as well as offer financial advice to in a more broader life cycle.
Mike Grondahl: Got it. Okay. Hey, thank you.
Jay Jackson: Sure. Thanks, Mike.
Operator: [Operator Instructions] And the next question will come from the line of Andrew Kligerman with TD Securities. Please proceed.
Andrew Kligerman: Hey, good evening, guys. So first question is around EBITDA margins. I think you came in at 55% this quarter. How should we think about it going into 2025?
Jay Jackson: Yes, I've historically said on other calls and publicly that we were always trying to target EBITDA margins greater than 50%, which had put us in a very elite category of businesses that run very high margin, profitable businesses. And so within any given quarter, you might see it go from 50% all the way up to nearly 60%, which is what we had happen from Q3. But part of that could be driven by the fact of, are we buying more policies? Are we putting more asset management fees to work? What I think you'll start to see here over time, Andrew, is more consistency, right? And what I mean by that is our business is starting to really shift towards a true recognizable fee-related earnings. And driven by asset management, driven by servicing fees and valuation fees, driven by our ABL tech fees that earns, those are five-year monthly paid contracts, so our three and five-year. So as more and more of the business is now shifting in that direction, I think that while still maintaining a very high EBITDA margin, you'll see more consistency in it long-term.
Andrew Kligerman: Got it, makes sense. And then maybe taking the smallest line item, technology services at 33,000. How do you see that playing out? How do you see the growth coming in this year?
Jay Jackson: Sure, so when we think about the ABL Tech division, they provide mortality verification services to pension funds and life insurance companies and carriers as a primary source of their business. They also do valuation work and lifespan data work and aggregate that data. What I like about that business is the upside, right? We just launched that business effectively to third-party clients in March of last year, so effectively just one-year-old, and now we're moved to a point to where we are right at the point of profitability. We've gone from effectively zero revenue to a point now to where we have revenue and we'll be reporting that revenue as a separate line item. So those tech services are going to continue to expand, and I believe I said on a call, gosh, last summer, where I talked about that being material to our earnings in two years, and I think we're on track for that. So it'd be summer of 2026, I think that we can be material there.
Andrew Kligerman: Got it, and then just one last one on the capital deployed came in around $97 million. To kind of make your guidance, does that kind of stay steady and it's all the other areas that are driving the upside to the adjusted net income?
Jay Jackson: Andrew, I think that's the right way to think about it, and that's why we felt so comfortable about that guidance. As we think about the capital deployed, we felt we were incredibly well positioned for that, and then upside was these additional areas that we're already recognizing integrated and strategic revenue from. So we think that, again, we're in a great position looking into 2025 and feel good about where we're at.
Andrew Kligerman: Makes sense, thanks a lot.
Jay Jackson: Thank you.
Operator: Thank you. There are no further questions at this time. And I would like to turn the call back to Jay Jackson for closing remarks.
Jay Jackson: Great, thank you everyone. And as we've said, we are looking forward to 2025. 2024 was a terrific year for us, in fact, a historical year, and where we saw increase year over year of from '23 to '24, which '23 was a record year of 50 plus percent. And now with our guidance in '25, we're talking about a 51% to 68% increase. I think that based upon the fundamentals of our company and the profitability of our business, we believe that our company and our businesses is in the right place. And that we, along with you as shareholders, we are incredibly grateful for you. And we are going to work very, very hard this year to ensure that we get our story out. And attending conferences and telling the message, because I think that's one area that we could be better at, is making sure that investors and others really understand our story. Because what I know about markets in general is over the long term, they are efficient. And being that they're efficient, and you look at the fundamentals of our stock, if we can continue now to tell that story and have people continue to understand and be better at that, I believe that that'll be recognized in value to our shareholders. So we are grateful for you and look forward to this year and many years to come. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time and enjoy the rest of your day.